Operator: Good morning, ladies and gentlemen, and welcome to the OR Royalties Q3 2025 Results Conference Call. [Operator Instructions] Please note that this call is being recorded today, November 6, 2025, at 10:00 a.m. Eastern Time. I would now like to turn the meeting over to our host for today's call, Mr. Jason Attew. [Foreign Language]
Jason Attew: Good morning, everyone, and thanks for your attention today, as I know it is a very busy reporting week. Procedurally, I'll run through the presentation, and then we'll open up the line for questions. For those participating online via the webcast, you can submit your questions in advance through the webcast platform. Today's presentation will also be available and downloadable online through our corporate website. Please note that there are forward-looking statements in this presentation from which actual results may differ. Also, all amounts presented and discussed in today's call will be in U.S. dollars unless otherwise noted. I'm joined on the call today by Fred Ruel, the company's VP Finance and Chief Financial Officer, as well as my other colleagues as indicated on Slide 3. OR Royalties third quarter of 2025 was a straightforward one with sequential quarter-over-quarter improvement with respect to GEOs earned, cash margin, cash flows as well as our overall debt reduction. OR Royalties earned 20,326 gold equivalent ounces in the third quarter, a modest 3% improvement over second quarter of this year. Based on where we sit today after the first 9 months of the year, the company is tracking towards the midpoint of its previously published full year 2025 gold equivalent ounce delivery guidance range of 80,000 to 88,000 GEOs. And this would be based on normalizing for the higher-than-budgeted commodity price ratios. In other words, gold, silver, copper and gold year-to-date. More on this in a moment. Recall that we've been very specific -- explicit about the fact that due to sequencing at some of our major producing assets, including Mantos Blancos and ongoing ramp-ups at other assets like Namdini. The second half of the year was always expected to be a little bit stronger than the first half of 2025. Consequently, and at this stage, we think it's appropriate for outside observers to infer that Q4 2025 should be OR Royalty's strongest quarter of the year in terms of GEOs earned. And thanks to improved silver grades realized quarter-to-date, Mantos Blancos will be playing a key role in supporting what should be a very solid Q4 for us. Circling back on our gold equivalent ounce guidance for 2025 and commodity price ratios. It's worth noting that through September 30, 2025, and due to the higher-than-budgeted gold prices versus both silver and copper over that period, OR Royalties is tracking approximately 2,000 GEO to 2,100 GEOs lower than its original budget. In other words, these GEOs are "lost" when not normalizing for commodity price ratios. As a reminder, in February of this year OR Royalties applied a consensus commodity pricing and notably an 83:1 gold-to-silver ratio for its budgeted 2025 GEO delivery guidance. All else being equal and based on the current commodity price volatility, this number of "lost" GEOs could either grow modestly or potentially get smaller before year-end. The key message is that the same higher gold prices that have skewed the ratios versus our original budget affecting our GEOs earned have also more importantly, translated to record revenues and cash flows from operating activities for all royalties for both the third quarter and the first 9 months of the year. For context, the average realized gold price for the first 9 months of this year was $3,188 per ounce, which is over $900 per ounce greater from the same period last year. So as you can imagine, our shareholders should still be satisfied with the outcome associated with these year-to-date price movements. In addition, we are 65% of our revenues are directly derived from gold. And speaking of cash flows, we're once again happy to report cash margins for the period of just under 97%, in line with our budget for the year. OR Royalties ended the third quarter with $57 million in cash as at September 30. We are in a debt-free position for the first time in over 10 years as the company paid down the outstanding balance of its revolving credit facility during the period. And while members of our corporate development team remain extremely busy to this day, there were no major transactions announced by -- OR Royalties during the third quarter outside of our second $10 million milestone payment released to SolGold, given the ongoing progress the new management team there continues to make in advancing a new vision for Cascabel. With the rapid increase in already elevated precious metals, in addition to recent price volatility, I continue to espouse an internal culture of capital allocation discipline. where returns on new transactions must exceed our internal hurdle rates at what we believe internally to be more realistic commodity pricing scenarios as well as contract structures that must come with the appropriate security features. Here at OR Royalties, we have the fortunate luxury to be able to walk away from transactions that we can't work for any of these aforementioned reasons, thanks in large part to our already bought and paid for organic GEO growth profile over the next 5 years or 6 years. I'll spend a little bit more time on our growth profile a little bit later. With respect to our ongoing commitment to return capital to shareholders, the company declared and paid its quarterly dividend of $0.055 per share in the second quarter, marking its 44th consecutive dividend. OR Royalty's history of progressive dividend payment serves as a testament to the confidence we have in the consistency, predictability and the anticipated growth of the current and future cash flows underpinning our business. Now moving on to the company's financial performance for Q3 '25. Quarterly revenues of $71.6 million tracked 71% higher versus the same period last year, again, largely thanks to the increased commodity prices and deliveries. And it also represented a quarterly record for the company. Net earnings of $0.44 per basic common share for the period also marked a very significant year-over-year improvement, thanks again to higher commodity prices and deliveries, but also in part due to the fact that as of August 2025, OR Royalties is no longer accounting for its equity position in Osisko Development as an investment in an associate and instead will now flow through other comprehensive income. This change in the accounting treatment of the Osisko Development investment generated a noncash gain of $54 million in the third quarter, as a result of the revaluation of Osisko Development equity investment at fair value on the date of the loss of significant influence being mid-August, which was triggered by the ODV equity financings. Most importantly, Q3 saw sizable year-over-year improvements in both cash flow per share of $0.34 versus $0.19 in Q3 last year as well as quarterly adjusted earnings of $0.22 per basic common share, again, versus $0.11 in the same period last year. Next slide, please. During the third quarter of 2025, our GEOs earned came predominantly from Canada, and we derived approximately 95% of our GEOs from precious metals, the balance coming from our direct copper exposure through our copper stream at Harmony Gold's CSA copper mine in Australia. Some comments on specific mine performances during the quarter before speaking about a couple of our more material assets in greater detail. At Agnico Eagle's Canadian Malartic complex, it had yet another solid quarter with respect to GEOs earned. A reminder that historically, we've often seen strong fourth quarters at Canadian Malartic versus the other way around. And while that should bode well for our final quarter of the year, we are mindful of an announced 4 day to 5 day maintenance shutdown at the mine during the fourth quarter. At Capstone Copper's Mantos Blancos operation, Q3 production saw a significant year-over-year jump, thanks to a couple of things. First, much improved plant throughput, still largely holding consistent at a nameplate of 20,000 tons per day; and secondly, approximately a month's worth of improved silver grades contributing to our own third quarter stream deliveries. Recall that with the 2-month stream lag, our 2025 stream delivery year for Mantos Blancos started November 1, 2025 -- 2024, sorry, and ends October 31, 2025. As noted, throughput levels remained at or above the mine's nameplate capacity of 20,000 tons per day at Mantos Blancos. And our anticipation is that silver grades should stay higher and in line with OR's expectations through the final month of our stream delivery year, which was the October that just ended. And also, as indicated in last week's Q3 2025 update from Capstone, the Mantos Blancos Phase 2 feasibility study is still scheduled for 2026, which we believe will be in the first half of the year. Finally, we've recently been really impressed with the ongoing successful ramp-up at the Namdini mine in Ghana, which based on our GEOs earned and paid year-to-date, it is starting to hit its stride after a slower start to the calendar year. We're expecting continued improvements from Namdini going forward based on the most recently -- the most recent publicly available mine plan for the asset, which was the 2019 feasibility study completed by the former Cardinal Resources, to which we understand the current operator is adhering to. Moving to Slide 7. And as I mentioned earlier, the number of currently producing assets in our portfolio stands at 22. And while unlikely to be included in any of our GEOs received this year, the next asset expected to be added to this list will be Ramelius Resources Dalgaranga mine in Western Australia, with our partner recently having released a full integration plan for the high-grade underground mine, which includes some modest gold production out of the mine in the first half of 2026. So likely beginning early next calendar year, more on Dalgaranga a bit later. On our last call 3 months ago, we went out of our way to highlight the meaningful silver exposure provided by OR Royalties, which through H1 2025 was just over 26%. If we recall the same chart from the previous slide you'll have seen that silver represented over 30% of our revenues in the third quarter. Summing this all up, we are essentially flagging that OR Royalties can provide lower risk, higher quality and meaningful leverage to silver for investors that are looking for it, especially if silver prices continue to close the gap versus gold as it has done over the past month or so. Moving on to Slide 8, which many of you will have seen many times before. Our company continues to set itself apart from the rest of its relevant peers in 2 key areas. First, as it relates to lower-risk jurisdictional exposure; and second, as it relates to our peer-leading cash and gross margins. Starting with the former. Just a friendly reminder that OR Royalties is the unequivocal leader when it comes to both net asset value and gold equivalent ounces earned from what we define as Tier-1 Mining Jurisdictions, which include Canada, the United States and Australia. And we would think that with the recent explicit plans outlined for the first time by Ramelius regarding Dalgaranga as well as other recent development advances across -- advancements across our portfolio, this exposure could very likely grow in the near to medium term. Moving to the latter. Simply put, OR Royalty's peer-leading cash margins provide our shareholders with both transparent leverage to precious metals prices as well as unmatched downside protection. Switching gears to Slide 9 and focusing on our cornerstone asset. Our partner, Agnico Eagle, provided some relevant information relating to the Canadian Malartic complex along with its Q3 2025 financial results announced on Wednesday evening last week. As it relates to operations during the period, aggregate gold production of approximately 150,000 ounces to 157,000 ounces in the quarter was higher than planned, primarily as a result of higher grades at the Barnat pit at Canadian Malartic. The higher gold grades at Canadian Malartic were a result of the continued mining of mineralized zones near historical underground stopes in the Barnat pit that returned higher grades than anticipated. Flipping to Slide 10. The Odyssey underground gold production during Q3 was slightly ahead of plan at approximately 22,400 ounces, driven by higher ore mined of approximately 3,634 tons per day compared to the target of 35,000 tons or 3,500 tons per day. Regarding the development of Odyssey Underground, the third quarter of 2025 saw mine development advance ahead of schedule with a record 4,770 meters completed. The breakthrough of the ramp to the mid-shaft loading station at Level 102 was completed in the third quarter of 2025. And the main ramp towards the shaft bottom progressed to a depth of 1,059 meters as at September 30, 2025. As previously noted by our partner and firmed up during the third quarter, Agnico Eagle approved the extension of the shaft -- the first shaft by 70 meters to a depth of 1,870 meters amongst some additional loading station adjustments. This adjustment is expected to improve operational flexibility and efficiency in the early 2030s, reducing reliance on truck haulage and further unlocking the significant exploration potential at depth. And speaking of efficiency, the sinking of the first shaft is already 2 months ahead of schedule. Looking at exploration, Agnico continues to press ahead aggressively with 29 surface and underground drill rigs operating during the period. The drilling program at Odyssey targeted the upper Eastern, lower Eastern and lower western extensions of the East Gouldie deposit. The new Eclipse zone and portions of the Odyssey deposit near the Odyssey shaft. Our partner believes this area of East Gouldie has the potential to add indicated mineral resources and potential mineral reserves to East Gouldie by year-end. The drilling success should benefit the ramping up of the mining operations and provide additional flexibility in mine development at East Gouldie, including a potential second mining area in the upper part of the mine. We touched on the following subject in our last quarterly conference call, but I think it's once again worth time to reiterate that our partner, Agnico Eagle, continues to openly discuss the concept of a second shaft at Odyssey. On Slide 9, we've provided just a small sample size of the details provided by Agnico as it relates to the current concept, including specific underground mine throughput profiles as well as aggregate potential underground production range in ounces as well as a breakdown of what is being targeted for both Shafts #1 and #2, expected grades and recoveries and finally, fairly detailed time lines to achieving all of this. What does this mean for OR Royalties? Distilling all of this down, it means that we could see an approximately additional 15,000 GEOs from a second shaft over and above what would be expected from the first shaft. The sheer amount of gold discovery to date at Odyssey Underground and more specifically East Gouldie on which we have a 5% NSR royalty and which continues to expand, continues to support our partners' plans. The current mineral inventory at the East Gouldie sits at approximately 50 million gold ounces and continues to grow. Agnico Eagle now has over 29 drills turning to expand this ounce inventory in addition to firming up the confidence of what has been previously defined. Given the sheer magnitude of the potential upside here, we can sympathize with Agnico's approach of taking a measured and methodical approach to the potential addition of the second shaft. Consequently, it is unlikely that there will be any meaningful public disclosure as it relates to specific details on the second shaft until the first half of 2027. Though Agnico has already indicated that upon release of those figures, a final investment decision would be quick to follow, if not almost immediate. Here at OR Royalties, it is our continued belief that the value of the potential second shaft at Odyssey is not currently fully reflected in our share price or even for that matter, in Agnico's share price despite the fact that we truly believe that there is little doubt that this project will eventually be sanctioned and completed. Finally, the potential second shaft only serves as a component, albeit a key one to Agnico's broader plans, which could see the entire complex produce 1 million ounces from 2030 onwards when factoring in additional regional ore sources such as Marban and Wasamac. As a reminder, Marban is subject to an NSR royalty or NSR royalties owned by OR Royalties as well as the toll milling royalty, while Wasamac ore would be subject only to the toll milling royalty. Agnico noted on their conference call last Thursday that the studies on both the second shaft and the complex's path to 1 million ounces remain on track. On to Slide 10, which touches on Dalgaranga, a high-grade underground gold asset in which OR Royalties owns a 1.44% gross revenue royalty and which was acquired just over a year ago. On July 31, Ramelius Resources fully closed its acquisition of Spartan Resources. And then just 2 weeks ago, our new operating partner provided its detailed plans of how it expects Dalgaranga to fit into this gold production growth over the next 5 years. In summary, Ramelius is choosing to operate and concurrently expand its central processing facility at its pre-existing Mt Magnet Hub in order to accommodate ore from Dalgaranga. Eventually, and within the next 2 years, the facility will be completely expanded to 5 million tons per annum and with 2 separate crushing circuits to accommodate ores from both Mt Magnet and Dalgaranga due to their respective different grind size and recovery profiles. In the meantime, higher-grade ore from Dalgaranga will be fed through the pre-existing unmodified plant with lower recovery rates expected to be achieved during this interim period. The good news out of all of this for OR Royalties is that Dalgaranga is now very likely the next producing asset in our portfolio with the first production expected in the first half of 2026, with significant step changes in growth expected after that based on Ramelius' financial year. Based on the recently provided production profile, Dalgaranga is also set to produce close to 275,000 ounces of gold in Ramelius' financial year in 2030 alone. None of these figures include any potential additional ore source, ounces sourced from Dalgaranga's Gilbeys Underground or a potential Never Never open-pit project, which serve as potential upside and on which Ramelius has also completed a PEA level scoping study -- scoping studies, respectively. And of course, this doesn't include any potential future exploration upside success within our royalties area of interest either. To sum up these points, we think that the recently released plans from Ramelius represents the first positive early indication of the true potential of this high-grade asset going forward. We'd like to extend our congratulations to the entire Ramelius team on having completed these creative and well-received integration plans in relative short order post this acquisition of Spartan Resources, and we very much look forward to Ramelius' execution going forward. Moving to Slide 13, but also staying down under. We're happy to report that Harmony Gold's acquisition of MAC Copper closed on October 24, 2025. The most immediate impact to OR Royalties and more specifically, OR Royalties International was the receipt of $49 million in cash for the 4 million shares held in MAC Copper. Even more exciting, though, is the future of this asset under such a deeply skilled underground mine operator such as Harmony. With the transaction closed, the approximate 3-month integration process of the asset is now underway. with Harmony looking to immediately execute on available synergies while also looking to maximize operational efficiencies once the integration is complete. Furthermore, Harmony has already provided a time line with respect to future catalysts at CSA, most notably an updated life of mine plan expected in August of 2026. Before that, however, will be some key interim updates in late February or early March of 2026, at which time Harmony is expected to provide a fiscal year 2026 production guidance for CSA as well as detailed updates on operational performance, key project development milestones and finally, on recent exploration activities. From our understanding, Harmony doesn't plan to deviate from either of the 2 projects started under MAC Copper, specifically the Upper Marn mine as well as the CSA ventilation project, with the latter still scheduled for completion in Q3 2026. Recall that these 2 projects are expected to get the mine to a point where it can sustainably produce at the 50,000 tons of copper per annum level, which represents a production expansion of approximately 25% of the most recently completed full year of operations in 2024. Recall the underground mine that had been the key bottleneck with the surface processing facility still having plenty of latent capacity, a facet that we expect Harmony to take full advantage of over time. Let's move to Slide 12. We're now highlighting the CSA expansion projects more explicitly in our 5-year growth outlook to 2029, alongside Island Gold, Dalgaranga and the others. As it relates to CSA, these expansions were always expected based on our exchanges with both MAC Copper and now Harmony Gold. Another minor change on this slide versus previous variations is that we've reintroduced the Eagle Mine in the Yukon back into the optionality bar, where previously it had been completely removed. And this actually provides a very good segue into Slide 13, which provides an ongoing summary of the significant progress being made on some of our key optionality assets that are currently excluded from our 5-year outlook. Though this slide might provide a good foundational preview on how to think about what might be included in our 2030 5-year outlook when released in mid-February of next year. As noted in our press release last night, we'll start with Cariboo and Spring Valley, 2 shovel-ready, fully permitted sizable gold projects that each resides in what we would define as Tier-1 Mining Jurisdictions. In aggregate, these 2 assets would be able to provide OR Royalties and their shareholders with approximately 16,000 GEOs in aggregate once fully underway. Starting with Cariboo, with another round of additional financing just completed, ODV is already moving forward with preconstruction and construction activities for the development of the project, including certain detailed engineering, procurement, underground development, operational readiness planning and other early works activities. We're expecting more news from the Osisko development team in the near term as it relates to more concrete plans and timelines for the Cariboo construction, which is set to be completed in order to achieve first gold production in the second half of 2028. Moving to Spring Valley, our understanding that Solidus and its build team are effectively ready to go as the company is keen to move forward with construction work. However, at this time, our partner is seeking final authorization of project financing via the proposed $835 million of U.S. EXIM bank facilities. So stay tuned on this one. Progress continues at pace at Agnico Eagle's Upper Beaver project in Ontario. Elsewhere, United Gold or Lydian Armenia is already drawing down on its credit facility in order to move forward with what's left to complete for the construction of Amulsar. In fact, we just had our team on site this past September, and they were very pleased to see this kind of activity there, the first of its kind in a really long time. And at South Railroad, Orla Mining should have an updated feasibility study out before the end of this year with the final record of decision expected mid-2026 and first gold and silver before the end of 2027. Finally, at Eagle, we understand that first round bids for the asset were due in the first week of September 2025, with those interested parties that made it into the second round now completing more due diligence, including site visits. The hope is that a new owner can be announced sometime in the coming months with a potential new plan of operations, including a potential timeline to restarting production following fairly soon after that. Quickly on Slide 14. On top of everything else we've mentioned, here is an updated list of key catalysts on currently producing assets on the left and key near-term development projects that fall within our current 5-year outlook on the right. I'll single out just 2 for now. Looking to the right side, one second. Looking to the right of the slide and starting with Windfall, it's likely that Gold Fields provide some updated economic numbers on the project at its upcoming Capital Markets Day scheduled for next week on November 12. Recall, the most recent fulsome update from Gold Fields provided the expectations that an updated feasibility study, along with final project permits as well as final IBAs with the relevant First Nation groups are now expected in what is shaping up to be a very busy 2026 for Gold Fields at Windfall. Second, and touching briefly on what has been and continues to be a busy year for Marimaca Copper with the MOD feasibility study now completed, it's quite possible that in the next few months, we could see additional major milestones achieved in the form of final permits for the MOD projects and our partner securing full financing to move forward with a final investment decision and subsequent project construction. Finally, we'll end on the formal part of the presentation on Slide 15, which outlines the current state of OR Royalty's balance sheet. At quarter end, we were completely debt-free and had cash of $57 million. This cash balance would have grown to approximately $106 million if we've been able to include the $49 million value of our MAC Copper shares, which are listed on this slide as investments held for sale, given this was representative as of September 30. The good news is this cash was received this past week. So factoring this all in, with approximately $1 billion in potential available liquidity at the end of the quarter, the balance sheet is looking incredibly strong. Our improved financial position is key as OR Royalty's corporate development team continues to be stretched to capacity across multiple transaction opportunities. At the same time, our robust organic growth profile and deep pipeline of tangible optionality affords OR Royalties the luxury to maintain a disciplined approach and wait for the right deal as we're not willing to sacrifice investment returns, deal economics or contract features just for the sake of adding gold equivalent ounces. As such, we plan to adhere to our time-tested strategy of measured and disciplined capital allocation in the pursuit of high-quality accretive streams and royalties that will bolster the company's current and near-term GEO deliveries as well as cash flows for the benefit of our current and future shareholders. And with that, we will conclude the formal part of today's call, and we can move forward with the Q&A. Joel?
Operator: [Operator Instructions] Your first question comes from Joshua Wolfson with RBC Capital Markets.
Joshua Wolfson: A couple of questions. First for Malartic, this has been a very strong year for the asset, outperforming expectations on Barnat grades. The existing mine plan in 2026 outlined a little bit lower production before, I guess, some further increases thereafter. I'm wondering how OR is thinking about the near-term outlook for the asset in the context of what next year looks like and what we should expect there?
Jason Attew: Thank you, Josh. I note you had 2 questions, so we'll come back to you in a second, but I'm going to hand it over to Guy, who is best situated to answer the question for you in the audience.
Guy Desharnais: Josh, we're not expecting any surprises. As you know, the grade overperformance is due to blocks that are around the underground stopes and Agnico takes a fairly conservative approach to whether those blocks appear in the resource reserve models. We continue that -- we expect that to continue into the final pits that we see there. So no expected surprises. We do get more detailed information at the beginning of the year with respect to their short-term mine plans, but we don't have those yet.
Jason Attew: And your next question, Josh... I can keep going. I've got a couple of them. For Eagle, I'm wondering if OR has been involved in any part of the negotiation process with some of the parties here that have been, I guess, providing offers. So look, I think everybody is aware, there is a public process that BMO Capital Markets Restructuring Group is running. It's safe to say that, as we mentioned, the first round of indicative bids, nonbinding bids passed and they've selected a number of we would -- what we would qualify or what they've told us is high-quality operators with very, very good ESG credentials. In addition, given the fact that we are a stakeholder, given our interest, we've also signed an NDA with the group PwC, who's obviously acting for the Yukon government and BMO Capital Markets. So it's really not appropriate for us to be able to comment on, again, any discussions we may or may not have with potential operators. They are running the -- BMO Capital Markets is running a very fulsome and proper public process that you certainly and everybody, all stakeholders will be able to see in the fullness of time. All we can say is as a stakeholder, we're quite pleased with the progress that has been made. We do believe that at some point, and we'll very likely get visibility in 2026 as to what the plan of the next operator of the Eagle Mine will be -- and at that point, we will determine or decide whether we reinclude the Eagle GEOs into our 5-year outlook. So there's not much more that we can say on that, Josh, apart from we're very pleased with the quality of interest from established operators that are looking to set a base up in the Yukon.
Joshua Wolfson: Great. And then one last one. I think in some of the prior conference calls, you had talked about some potential for a transaction to be announced before year-end. It sounds like the company is instituting some greater discipline. And I'm just wondering what the outlook is still for that negotiation process.
Jason Attew: Yes. No, it's a really good question. I'm looking at my team around the table here. As I said in my remarks, the corporate development technical teams are just flat out right now. We're looking at a lot of opportunities. However, as I've said in the past, I mean, if our group can get 1, maybe 2 high conviction, very good returns for our shareholders over the course of 12 months to 18 months, we will do that. What we've seen in the marketplace, though, is we have not been able to conclude those transactions, both on a couple of things, as I said in my remarks, value. We're not seeing -- we've got to obviously make a spread on our own internal hurdle rate. We're not seeing deals right now that satisfy that criteria. As also, we've seen some loosening of structure, i.e., there's been a number of deals, as you would know, that are unsecured or the security instrument is not where we, as risk managers on behalf of shareholders' capital are comfortable with at this stage. So there's certainly a desire to get things done, Josh. It's just we have to remain very disciplined and really stick to and pick our spots.
Operator: [Operator Instructions] Your next question comes from Tanya Jakusconek with Scotiabank.
Tanya Jakusconek: Can I just continue on Josh's questions on the transaction opportunities? Jason, you mentioned on your call that you have an internal rate of return metric that you're very focused on as part of your strict valuation for all metrics for transactions and you said it's a more conservative gold price. What sort of internal rate is that? Is it...
Jason Attew: It would vary, Tanya. And so maybe we can take this conversation offline because I think it is important you understand it, but I'll just talk about broad parameters. We obviously have a weighted average cost of capital within our company. That's mainly informed by a revolving credit facility. Our revolving credit facility is based on a variable rate. I think you know what prime rates and where the rates have been going down. So approximately, and it could vary over time, but approximately, it's about 4.5% in terms of our cost of capital or cost of debt if we were to dip into the revolving credit facility. So that is obviously what we need for a transaction is a spread beyond that. And what we also do is we don't do transactions and we don't look at transactions in the frame of spot prices right now. We do continue to look at consensus pricing and be informed by that. All that said, we do look at spot as a relevant benchmark. It is a very competitive sector and very competitive for deals right now. And then we have to really lean on our technical team, Guy and Brendan, in particular, to look through the asset and see what might not be publicly disclosed in terms of technical reports to look for upside, both geologically, mine life extensions and operational efficiencies. So it's a very complex -- well, it's an answer that has many different components to it. Very happy to walk you through our methodology at some point. But you can think around those parameters, as I said, a spread over that hurdle. And obviously, if we did a transaction in one of those Tier 1 jurisdictions, the hurdle or the spread would be significantly less than, let's call it, Tier 2 or Tier 3. And we've proven that in the past. Let's go back to the Cascabel transaction that we did with Franco and what the Street had suggested in terms of the internal rate of return that was mid-teens for us, 14% to 15%. So those are approximately the goalpost, Tanya.
Tanya Jakusconek: Okay. So definitely over 5% spread over that. Maybe just on the opportunities that you're seeing out there. I think on the Q2 conference call, it was quite a wide spread from like $50 million to $1 billion. I mean, you can drive a truck through that. Maybe we could talk a little bit more about what are you seeing currently in the environment? Is it a much tighter spread? Is it still streams versus royalty packages? Is it still development or financing for asset sales? What exactly are you seeing?
Jason Attew: The answer to all those questions, Tanya, is yes, all of the above. Again, it varies for sure. And some obviously deals that are in flight we've been working on for can be 2 years, 3 years and some obviously come in through processes of existing operators, for example, deciding now is the right time to sell a royalty package off that they've put in a portfolio many, many years ago and obviously are looking at the commodity complex and saying, is this the right time for us to extract value. So again, there's a lot of different opportunities out there for us. I think I'm consistent in saying that for us, being a mid-tier streaming and royalty company that the strike zone for us is anywhere between $50 million and $500 million. We do have ample liquidity and capacity to do that given, again, we're now 0 debt and completely undrawn on our revolving credit facility. But there is many, many opportunities out there. As I said, our team is very busy, and I will -- because I don't think it's -- I will again emphasize that for our company, given our growth profile, we just have to be incredibly disciplined around capital allocation.
Tanya Jakusconek: Okay. I guess we'll get more into that at your Investor Day. Maybe just a final question. As I think about 2026, and I know pricing is important, whether you keep the 82 or 83:1 ratio. As I think about -- and you provided the 5-year 2029, you're up in that 120,000 GEO, 125,000 GEOs or thereabout. As I think 2026, would it be fair and it's just a directional situation, would it be fair to assume that '26 could look very similar to '25?
Jason Attew: Yes. No, it's an excellent question, Tanya. Look, obviously, we'll provide more details when we put out our 1-year guidance in February of 2026 as well as an updated 5-year outlook. What we've been consistent in saying in the past is this growth rate, 40% over the next 5 years is not linear. You know the assets that we have in production currently. Really the only new asset that's going -- unless we actually bring an asset through an acquisition, the only really new asset coming in is the Dalgaranga that we talked about on the call. We do expect next year for Mantos Blancos to continue to have the higher silver grades that we've just recently started to experience. So those are the big drivers of growth for 2026 as well as the Namdini mine in Ghana as it hits its full stride in 2026. That's probably the best guidance I can give you at this stage. We can certainly talk about it further on Monday at the Investor Analyst Day, but we'll give all that specificity to the extent we can in February of 2026.
Tanya Jakusconek: And look forward to your Investor Day.
Operator: Your next question comes from Carey MacRury with Canaccord Genuity.
Carey MacRury: Just a quick one for me. There was a copper buydown option on the MAC Copper stream. Just wondering if that option transfers now to Harmony and if you have any thoughts on whether they will execute that or not?
Jason Attew: So really good question. Cary, effectively, you can think of everything that we had with MAC Copper as essentially being assigned to Harmony Gold. So yes is a straightforward answer. And anything that you're modeling or seeing with MAC Copper, you can just assume and because it has been assigned to Harmony Gold. There's been no changes in the structure, no changes in effectively anything commercially with respect to that -- both the silver stream and the copper stream.
Carey MacRury: And that option only kicks in after -- on the fifth anniversary, they can exercise early.
Jason Attew: That's correct.
Operator: There are no further questions at this time. I will now turn the call over to management for closing remarks.
Jason Attew: Thank you, Joel. As always, if anyone on the call or listening to this replay has additional questions, insights or observations on our business and our business strategy, please do reach out to Grant, Heather or myself, and we're more than pleased to provide more information about the bright future for our company and its shareholders. In addition, I would like to provide a final plug for our Investor and Analyst Day, which is planned to be a 2-hour session this Monday, starting at 1:00 p.m. at Vantage Venues in Downtown Toronto. My team will go through in much greater detail our assets, including the potential for growth, insights and opportunities that we do see within our portfolio. If you can make it down in person and you haven't already done so, please RSVP to my colleague, Grant Meonting. And if you can't make it in person, a live webcast link was also provided in our press release last night. We hope you can join us either way. And if not, a recording of the event will be available on our website in relatively shorter order after the event. Thank you again very much for your time, and we look forward to engaging with you in the future.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and ask that you please disconnect your lines.